Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Colfax Second Quarter 2020 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mike Macek, with Colfax. Thank you. Please go ahead, sir.
Mike Macek: Good morning, everyone, and thank you for joining us. I'm Mike Macek, Vice President of Finance. Joining me on the call today are Matt Trerotola, President and CEO; and Chris Hix, Executive Vice President and CFO. Our earnings release was issued this morning and is available in the Investors section of our website, colfaxcorp.com. We will be using a slide presentation to walk you through today's call, which can also be found on our website. Both the audio and the slide presentation of this call will be archived on the website later today and will be available until the next quarterly earnings call. During this call, we'll be making some forward-looking statements about our beliefs and estimates regarding future events and results. These forward-looking statements are subject to risks and uncertainties, including those set forth in the safe harbor language in today's earnings release and in our filings with the SEC. Actual results might differ materially from any forward-looking statements that we make today. The forward-looking statements speak only as of today, and we do not assume any obligation or intend to update them, except required by law. With respect to any non-GAAP financial measures made during the call today, the accompanying reconciliation information relating to those measures can be found in our earnings press release and today's slide presentation. Now I'd like to turn it over to Matt, who will start on Slide 3.
Matt Trerotola: Thanks Mike. Good morning, and thanks, everyone, for joining the call. I'd like to start by recognizing our associates for their continued dedication to protecting the health and safety of their colleagues, while serving our customers and patients. As I mentioned on our last call, we made COVID-19 safety our top priority for Q2 and took quick actions to protect our associates around the world. At the same time, we successfully navigated a range of challenges to keep most of our supply chains flowing and recover quickly from a few policy driven shutdowns. We aggressively flexed down our cost to partly mitigate the slowdown in sales and achieved very strong decremental margins. We also used an aggressive CBS focus to keep our cash flow positive and protect the overall financial strength of the company. In the second quarter, we earned $0.09 per share on an adjusted basis and generated $18 million of free cash flow, achieving our objective of being earnings and cash flow positive despite a year-over-year sales reduction of about 30%. Sales hit a low point in April, down more than 40% and then sequentially improved in both May and June as customers worked past the initial pandemic shock. June sales were down 19%, and this positive trend continued in July with both of our businesses, again, sequentially improving. We finished the quarter with ample liquidity and financial flexibility. We protected our key growth investments, even as we reduced overall spending. Our actions this quarter will enable us to regain the strong momentum and relative performance that we had prior to COVID. Slide 4 shows in more detail the monthly sales progression in our businesses, which played out within our expected range of outcomes. Following a difficult April, our MedTech business saw an increasing number of elective procedures, reopening of orthopedic clinics and increasing levels of organized sports and trauma. Sales improved sequentially from down 60% in April to just down 16% in June. The Reconstructive product lines had larger declines early in the quarter due to the nearly complete curtailment of elective procedures in March and April. And as hospitals and ASPs resume these procedures starting in May, sales quickly improved, with June sales down only 3%. Prevention and Rehabilitation product lines declined to a lesser extent in April, and then improved to down 21% in June. This part of the business has more diversified end uses and is more global, so the recovery is impacted by a broader range of factors than just elective surgeries. Across the total MedTech business, preliminary July results are consistent with our views that Q3 sales growth will be better than June levels. In FabTech, sales also improved throughout the quarter. In April, we experienced a decline of just under 30% and improved to down 20% in June. As the quarter progressed, we benefited from reopened facilities, easing of restrictions in many served areas and sequential demand improvements in almost all regions. Similar to our MedTech business, we expect sequential improvements to continue in Q3. The pace of improvement in both businesses is uncertain, but we believe we will continue to improve through the second half of the year. We are increasingly focused on maintaining and expanding our market advantages and investing for future growth. MedTech business results are included on Slide 5. Q2 sales of $206 million were down 34% organically. Both segments were down a similar amount and improved through the quarter. As we expected, Reconstructive had a much steeper improvement and had positive growth in July. We are encouraged by the sequential improvements across the business as our teams are working effectively to serve recovering demand. Our temporary cost actions enabled us to deliver positive adjusted EBITA in the second quarter despite significant volume declines. Given the improving sales, we're rolling back most of our Q2 temporary savings actions and focusing on driving strong sales recovery through commercial processes, strong operating execution and innovation. We continue to invest in our key growth initiatives and expect to increase overall innovation spending this year versus last. We've highlighted some of our recent launches on Slide 6. Our fast-growing surgical implant business aligned with great surgeon and key opinion leader team to develop products with superior outcomes. We're building on our product portfolio and filling out the bag where we currently have gaps in our offering. We're about to launch two important new products. First, the EMPOWR Partial Knee expands the number of procedures where patients can benefit from the greater stability and natural knee motion patterns that have made our EMPOWR such a great success. We also recently received FDA approval for the AltiVate Anatomic CS Edge, which adds a seamless offering in our shoulder portfolio. These products will help us to penetrate more deeply in existing surgeons and also to continue to attract new surgeons. In Prevention and Rehabilitation, focused operational improvements, along with growing product vitality, created significant growth momentum prior to COVID. We recently released two new products under the market-leading DonJoy brand. The X-ROM Post-Op Knee Brace combines excellent range of motion protection with a comfortable user-friendly design. The VersaRom Hip Brace filled the key product gap in our portfolio. We're expecting to launch several more key bracing products this year, progressing step-by-step back to the healthy vitality levels that will support consistent above-industry growth. Another part of our innovation strategy is to lead in connected medicine. Connected medicine digitally connects health care practitioners to patients in outpatient settings. By capturing more real-time data and driving improved compliance to postoperative protocol, connected medicine can create better patient outcomes and satisfaction with the overall experience. As you can imagine, the COVID crisis has made doctors and patients even more interested in these benefits. This week, we introduced Motion iQ, an innovative new software solution designed to transform the surgical experience by digitally connecting the surgeon, care team and patient throughout the larger continuum of care. Motion iQ empowers patients to take an active role in their care through a more personalized and informed process, while providing the care team with continuous health and activity data. This is another great addition to our overall suite of digital solutions. Turning to Slide 7. Fabrication technology organic sales declined 25% to $414 million. One of the strengths of our FabTech business is that it is a truly global business with almost half of our sales coming from faster-growing emerging markets. This quarter, these developing regions were down less than developed, and both developed and developing regions showed sequential sales rate improvement through the quarter. Our GCE gas control business grew in the quarter. We acquired GCE several years ago as part of our strategy to improve the margins and growth opportunities within our FabTech platform. GCE is a leader in gas equipment, selling in the health care space with medical gas systems and other equipment as well as in more traditional industrial sectors. We significantly mitigated the profit impact from lower FabTech sales through strong cost control and temporary savings actions, resulting in decrementals of only 21%. Restructuring projects initiated late last year remain on track with expected in-year benefits of at least $20 million and with higher annualized benefits. We are also playing aggressive offense in FabTech. By effectively supporting customers, focusing on healthier market sectors and protecting key growth investments, we're positioned for continued outperformance. Slide 8 highlights some of ESAB's new products. We launched 37 products through the end of Q2 and expect to again top 80 by year-end this year. We have a strong and rigorous innovation process at an ESAB that reliably creates market-leading new products that drive share gain each year. Our FabTech platform has also been focused on digital solutions. We expanded our digital offering this quarter with the introduction of WeldCloud notes document management software. This solution adds weld process storage and quality documentation to our industry-leading WeldCloud offering. This quarter, we also launched the Aristo 500ix, a portable power source that is designed to better serve the needs of the heavy industrial market. We also rolled out the Miniarc ROUGE ES 180i, a portable stick/lift TIG inverter that gives us access to a new market segment in high-growth markets. We will launch dozens of filler metal and gas control products this year and have highlighted a few key ones from Q2 here. Before turning it over to Chris, I'll summarize our key priorities for the second half of the year on Slide 9. The safety of our associates remains our top priority. This includes protecting associates around the world in our manufacturing sites, our field service teams and those working via technology from home. These teams are focused on continuing to reliably deliver to customers at a time when they need our essential products. At the same time, our teams are driving CBS improvements and advancing our growth strategies. We continue to responsibly flex our costs and are also supporting our customers with strong delivery performance and an expanding number of innovative new products. These new products are being commercialized at a time when markets are improving. We expect to sequentially improve growth and profit in the third quarter and remain cash flow positive. We believe that the rate at which we recover will show clearly the strength of our reshaped portfolio. We also have a healthy acquisition pipeline of strategic bolt-on opportunities and technology investments that can help drive compounding value for our shareholders. I'll close by expressing my sincere gratitude to our associates around the world. Our teams have shown commitment, resilience and great skill to successfully execute in these challenging times. I am extremely proud of our team and know that we will work through the rest of this crisis together and then resume our winning momentum. Chris will start on Slide 10.
Chris Hix: Thanks, Matt. Despite the pressure on our revenues in the quarter from COVID, we flexed our total spending down to achieve our objective to generate positive free cash flow. The $18 million we are reporting does not include another $3 million from the sale of assets. We also reduced our operating cash balances to more efficient levels. All of these efforts supported the $300 million revolver repayment in the quarter and kept our liquidity of $1.2 billion. We finished the quarter with 4.2 turns of debt. We are forecasting to be cash flow positive again in Q3 and generate our seasonally highest quarter of cash flow in Q4. Our current view is in the second half of the year with leverage in the mid four turns and then to return into the 3s as EBITDA levels rebuild in 2021. Slide 11 is an overview of our as-reported second quarter consolidated performance. Sales declined 32% or 28% organically as FX headwinds impacted sales just under 4% in the quarter. Based on current exchange rates, we expect this headwind to be lower in Q3 in the range of 2% to 3%. During the quarter, we executed a temporary spending reductions, as outlined in our last call. This enabled us to achieve Q2 decrementals of 28% within our expected range. Our outlook is for sales to continue to sequentially strengthen, and we are dialing back many of the temporary cost actions to align with this view. As a result, we expect the decrementals in Q3 to slightly move into the low 30s. Our Q2 operating cash flow of $37 million reflects process improvements that were quickly implemented by our teams throughout the company, in some cases, accelerating efforts that would have been completed later in the year. These improvements will also contribute to future performance. As COVID abates after 2020, we expect to return to the $250 million or more of free cash flow and 90%, plus conversion, that we originally guided for this year. For the rest of 2020, we expect interest costs to track near Q2 levels and the tax rate on adjusted earnings to likely be in the mid-20s. The share count should be mostly in line with this quarter's results. Slide 12 provides a similar view of the recovery in each of our businesses as we provided in our last call. The long-term drivers that we discussed a few months ago remain intact. Our MedTech business is well positioned to serve the increasing demand from aging and more active populations and related medical conditions. Our FabTech business remains the only truly global supplier to support infrastructure investments in the developing world. Our MedTech business should benefit from increasing access to health care in our served markets. The industry has a powerful incentive to continue to serve patients and protect revenue. We are already seeing increased activity as surgeons work down their backlogs and future revenue will also be linked to more patients who are entering treatment arenas to seek relief for chronic pain and immobility and for injury prevention. We are expecting flat to down mid-single-digit revenue in Q3 and continued normalization heading into 2021. Our industrial scenarios continue to have a wider band of potential outcomes to reflect the broad number of markets served. We continue to expect sequential progression each month and preliminary July results are in line with our views. We cannot predict with certainty when demand levels will return to pre-COVID conditions, but see a path for quarterly normalization sometime in 2021. We're pleased at the rate of top line improvement in our businesses through Q2 and into July. We acknowledge the risks associated with additional waves of infection that continues to influence the wide range of potential recovery outcomes, but we are confident of our path for sequential improvements into the back half of 2020. Wrapping up on Slide 13. In the second quarter, we demonstrated our resilience, the strength of our teams and the power of our business system by responding quickly to the pandemic. We protected our associates and delivered on our Q2 financial objectives of positive earnings and cash flow. Business conditions clearly improved off of April lows, and this momentum has already continued into Q3. Sales and profit should sequentially improve this quarter. Throughout the downturn, we continue to invest for growth to ensure we remain well positioned to play offense and resume our momentum of growth, margin expansion and healthy cash flow as COVID abates. That completes our prepared remarks. Let's go ahead and open up the call for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Scott Davis from Melius Research. Your line is now open.
Scott Davis: Hi, good morning, guys. Can you hear me okay?
Matt Trerotola: Yes, hey Scott.
Chris Hix: Good morning, Scott.
Scott Davis: Good morning. A couple of things sound interesting here. I mean, you made a comment towards the end of the prepared remarks that process improvements accelerated given the pandemic. I mean, can you give us some examples of what you're kind of referring to, whether it's factory based lean or sales, marketing or kind of all of the above? Or just basically anything that you can share with us in that regard?
Matt Trerotola: Yes, Scott, I mean, the specific comment was related to cash flow, although we're working on process improvements throughout the business. And in cash flow, we had – you had active efforts working on improving inventory management in both of the businesses as part of our overall CBS focus in the businesses, and that's an area where we had already laid a lot – quite a bit of foundation in terms of that process work. And as we got early into the crisis, we're able to use that foundation to very thoughtfully pivot what we're doing on the inventory front across our many facilities around the globe and stay in a position where we could serve customers well as the volumes were declining, but where we didn't continue to build up inventory in the business. And so we feel like we've been able to keep ourselves strategically positioned to have the right amount of inventory for the recovery but at the same time, not have our inventory run up on us as the revenue was coming down.
Chris Hix: I would add that we also increased the cycle times in the reviews that we've got in various parts of our operations as well. And as you know, the more frequently you're measuring and improving, generally, you're going to be able to drive better results that way as well.
Scott Davis: Okay. Helpful. And then just kind of logistically, I mean you have a few new product rollouts in MedTech that look promising. But how do you get those products out to – how do you educate your customer in times like this? And is this the right time, I guess, to launch new products? Or is this just part of the regular cycle, and it's just going to take a little longer perhaps given the pandemic to really get customers to understand the offering?
Matt Trerotola: Well, interesting enough, Scott, it's been sort of a great time as long as you're thoughtful about the timing. For a couple of months there in Q2, doctors and their other practitioners had more time than they've ever had to talk to us. So we took full advantage of that. We had a lot of digital education sessions on a range of issues, including the new products that we had. So we did, with a couple of products, we shifted out the designing of the launch by a couple of months to get them out of Q2 when there wasn't as much activity, but then we used that time to do a whole lot of education and now I think we've got the opportunity to bring those products into the market here in Q3. So I think it was a bit of a unique opportunity on these products that our teams have taken full advantage of.
Scott Davis: Helpful. Good luck to you guys. Thank you very much.
Matt Trerotola: Thanks Scott.
Operator: Thank you. Our next question goes from the line of Jeff Hammond from KeyBanc Capital Markets. Your line is now open.
Jeff Hammond: Hey, good morning, guys.
Matt Trerotola: Hey, Jeff.
Chris Hix: Good morning, Jeff.
Jeff Hammond: So just wanted to focus on decremental margins in MedTech. They seemed a little bit weaker than what we were forecasting. Just can you talk about what you did in terms of temp costs and what comes back? And what investments may have kind of weighed? And maybe how to think about decrementals as we – between the two segments as we go into 3Q? I know you gave an overall.
Chris Hix: Yes, Jeff, we were – I think we're really pleased with the execution that we had in Q2 in both the businesses. There's obviously a difference in the performance because you've got a different starting point with the margin profile in the businesses. So we would expect the FabTech business to come in with lower decrementals just as it did. And so we've executed really across a wide range of temporary initiatives that we had, which impacted employment levels, compensation, discretionary spend. Just really, we pulled pretty much all the levers to make sure that we could stay financially healthy. As the quarter progressed, and we began to see improving sales levels, it became clear to us that we had the opportunity to match the temporary spending going into Q3 against those improving sales levels. And so we began to turn the knobs a little bit, especially with respect to employees, decreasing the furloughs, changing the compensation, the tactics that we had engaged in. But still, all of that means that we're targeting a level of decrementals in Q3 that's really going to be very similar to Q2. Instead of being in the sort of high 20s, we're saying low 30s. We think that's appropriate given the level of improvement and the fact that we're pivoting the team more and more to playing offense, making sure that we're getting our fair share of the market opportunity.
Jeff Hammond: Okay. And then I think there's been talk of kind of this catch-up in the surgical piece. And I'm just wondering how you think about, I know visibility is tough, but how you're thinking about cadence into 4Q? Do these catch-ups all happen in 3Q and then we step back? Or how to think about some of that catch up?
Matt Trerotola: Yes. Yes, Scott, from – really from the start of this – or sorry, Jeff, there's been, I think, there's been an understanding that while elective surgery was essentially shut down, there's a backlog that build up. And at the same time, there's less clinic visits that were taking place. And then as elective surgery started to come back initially, we're working off that backlog but then the clinic visits are building back up the backlog. And so from the start, there's been an understanding that if the recovery came super fast, then there might be a little bit of a pause after the recovery before you got to normal. And if the recovery came slower, then there probably wouldn't be a pause and it's just sort of the math equation between the backlog and the recreation of the backlog. And so as we think about the back half of the year, we're keeping that in frame. As I shared in my comments, our Reconstructive business was in a positive zone – positive growth zone in July. That doesn't mean the industry within a positive no-growth zone, overall because we've been taking share consistently in that industry for a couple of years now. But that positive zone in July, if we stay in a positive zone through the quarter in that business, it just depends how positive we are, right. The stronger we get, the more chance that we might pull back a little late in the quarter or in Q4 once the backlog has been worked off. And if it's a more steady progression through the quarter, then it's more likely that it'll stay in that steady progression. But the good news is that right now, this is, in the Reconstructive business, all the discussion around the range of flat or up a little or down a little, unless something changes in the external scenario versus the significant declines of Q2.
Jeff Hammond: And then how is the progression of recovery happening in the rehab side relative to maybe what you would have thought three, four months ago?
Matt Trerotola: Yes. I think in Reconstructive, it's been pretty consistent with what we might have thought. That business didn't go down as far, and its recovery has been slower. What we see happening there is that there's a significant portion of business that's driven off of sports medicine, elective surgery as well as implant elective surgery. And that part, of course, has come back very quickly with those elective surgeries. But then there's also a significant portion of that business that is based on a broader range of drivers around the world, sports activities, workplace injuries, trauma, and those are coming back at a more step-by-step pace that, frankly, is more consistent with what we're seeing on the FabTech business in terms of kind of a step-by-step pace of recovery. And so I'd say the recovery in that business is consistent with what we've expected, and we're encouraged to see improvement again in July in that business as well, that we think is consistent with what's going on in the outside world as more people are getting back to activities and the clinics are getting more full, et cetera. But at the same time, there's a lot of activities that have not resumed yet, and it's going to take some number of months or a couple of quarters before all of those do.
Jeff Hammond: Okay, great. Thanks guys.
Matt Trerotola: Thanks.
Operator: Thank you. Our next question comes from the line of Joe Giordano from Cowen. Your line is now open.
Joe Giordano: Hey, guys. Good morning.
Chris Hix: Good morning.
Matt Trerotola: Hey, Joe.
Joe Giordano: So like, I think the color of surgical being up in July is important. I'm just curious, is there a wide range of the kind of outcomes that you're seeing now in different parts of the country, like is it up a lot in the Northeast, then like downs that are getting worse in like California or places that have seen second waves? I'm just curious as to how do we think about the sustainability and forward direction of that July number.
Matt Trerotola: Yes, Joe. Well, first, our surgical business is nicely balanced across the country. And there is no question that there are regional differences, that there are certain states and cities that came back very, very fast and then have had some flare-ups in terms of infections that have led to some pullback. And there's other states that took longer to come back, and they're just now really accelerating. Now the good news is that there's a degree of diversification there that it will have some month-by-month impact, but not – we're not seeing wide swings. And frankly, it tends to be quite situation specific. Again, if you go back to March, everything stopped essentially, things that really had to happen. Whereas what's happened here in June and even July is you'll have a doctor that starts to see that because of some local flare ups, their schedule is getting a little bit pulled back and you know what, I'm taking a vacation to Hawaii. I'm going to go take two weeks. So we have one of our doctors that we are thinking is going to do a lot and then they're not, and we adjust to that. Or you have a hospital that starts to get concerned, and so they dial back to only doing things in the ambulatory center, and that takes that hospital from 80% or 90% to 60% or 70%. There are more specific case-by-case things that are happening that are causing some of the oscillations in the business. And I think our team – we've got an incredibly agile surgical team, and they're doing a fantastic time – job adapting to that and making sure that they – that the doctors have what they need to do the surgery, and that we can pivot when someone decides to pull back and someone else decides do a little more. We're staying very, very close to those docs, and I think doing a great job doing that. And we do feel like that kind of surgical implants business has recovered most of the way, and it's going to bounce up and down a little. But unless there's some significant unexpected new phenomena, we should be kind of away from the very difficult times in that business.
Joe Giordano: And apologies if you touched on this already. I am kind of juggling a bunch of different things this morning. But have you seen kind of like maybe an accelerated shift towards the ambulatory center? And have you – have they kind of accelerated maybe the uptake of some of your digital offerings for patient scoring and things like that?
Matt Trerotola: Yes. So there's no question that right now, a larger percentage of procedures are being done in an outpatient environment in multiple types of outpatient environments, not just ASC. A larger percentage of procedures are being done that way. That's the way the hospitals have dealt with getting back to elective surgery, while at the same time, having the appropriate separations of things that they need to have. So on a temporary basis, there is a meaningfully elevated amount of stuff being done in that outpatient environment. On the backside of that, that will stabilize back to a more balanced level. But for sure, this kind of trend to more outpatient surgery has likely been accelerated for good through this. And there's some great things that we've been doing there. Our OaraScore is something that we've made available to everyone on a short-term basis, so they can use it and see how it helps them to do the risk assessments of which are the right patients to be able to do in that outpatient environment. We've also – our knee product, EMPOWR Knee, is a knee that sets up very well for the type of patients, the active patient that is done in the outpatient environment and so that creates more in the ASC as an advantage for us. And we've also been continually working on our instrument sets and other workflow for the ASC to make sure that as that trend continues, that we can be a real leader there.
Joe Giordano: And then just last for me, just on FabTech. Obviously, you have significant exposure to some parts of the world that have been hit pretty hard too, starting with Brazil, Russia, things like that. Have you seen those markets kind of stabilize at least from a demand standpoint?
Matt Trerotola: Yes. As I said, most of our regions have accelerated through the quarter, and that includes kind of the various emerging regions like Russia. India is one that was completely shut down in April, and most of May and then has reopened in June. It's taken some time to get restarted on the backside of that kind of a shutdown, but all of our facilities reopened late May or early June in India. And we certainly are seeing that developing part of the business performing better than the developed and accelerating as well on an ongoing basis.
Joe Giordano: Great, thanks guys.
Operator: Thank you. Our next question comes from the line of Mike Halloran from Baird. Your line is now open.
Mike Halloran: Hey, morning, gentlemen.
Matt Trerotola: Good morning, Mike.
Mike Halloran: So first on the FabTech side, a little bit of a continuation from the last question. You think about the guidance in the high single to low mid-teen kind of decline range versus 20% decline in June. What informs that improvement? Comps get a little easier, but is this a linear improvement curve? Or is it what you're seeing in July across the regions and kind of going almost sequential off of that, or a normal seasonality of that, excuse me. How do we kind of frame, how you arrived at that down it – high single digits to mid-teen type decline range?
Matt Trerotola: Yes. So I mean, certainly, we track very carefully the trends through the quarter and what was driving those trends and which – how much the improvements were driven by factories that we had to shut down and we were then able to reopen versus how much was driven by demand-based economic drivers and which of those were policy driven in terms of they were shut down and then reopened versus which of them were activity driven and maybe they slowed down and then they're restarting at some pace. And we've looked at it kind of segment by segment. So we looked at how things went through the quarter, and then we've taken a close look at how June has developed. And based on that, have tried to give our best view to you about how we see things going through the quarter. And as you'll notice, it would be a sequential trajectory for us that is quite different from history. We typically are down from Q2 to Q3 based on the summer in Europe, and we're now expecting that we should be up from Q2 to Q3.
Mike Halloran: The pricing side of FabTech, so your thoughts on the quarter. Thoughts on how that dynamic plays out and any kind of price cost commentary from your perspective?
Matt Trerotola: Yes. So pricing in the market is pretty stable. And our positive in the quarter is more related to covering inflation into high-growth areas of the world versus some broader pricing actions. But we are feeling like there's a good stable, healthy price environment in the industry, and we continue to drive value-based pricing efforts while, at the same time, being very proactive about covering inflation when it hits us.
Mike Halloran: And then last one, when you go back to how you were thinking – talking about the rehabilitation side of things, how does it correlate to activity levels and return to reconstruction? Is it pretty coincidental? Is there a lag impact? How are you guys thinking about the timing of that versus the other pieces?
Matt Trerotola: Yes. So again, there's a meaningful portion of our prevention and rehab business that is related to elective surgery, and it's pretty closely linked. As sports medicine surgery restarted around the world, not just in the U.S., we saw a meaningful pickup in a part of our bracing and rehab business that's related to that. And there will be braces they use right after getting an ACL, again there's this X-ROM brace that we just launched, is a brace that is to be used right after you get ACL surgery but also cold therapy that gets used right after implant surgery or others. So there is a pretty close correlation with a portion of our bracing business with that return to elective surgery. But then it's really the rest of the bracing business that, in some cases, it was constricted just because people weren't going to clinics. And so they would have pain, but they weren't able to get the clinic. Some of that came through a consumer channel, but the reality, most of it just didn't come for a little bit there. But there's also different sports industries, workplace injuries, trauma that are some of the drivers of the need for Prevention and Rehabilitation that were significantly reduced based on all of the – all of the policies around the world of people sheltering in place and different things like that. And so that's just as these economies get more and more open and people get more and more active, that should get the rest of the way back to normal. And we're not sure if that's going to be a quarter or several quarters, but we do expect the demand drivers to return, as Chris talked about, as we get into next year.
Mike Halloran: Appreciate it. Thanks for the time.
Operator: Thank you. Our next question comes from the line of Joe Ritchie from Goldman Sachs. Your line is now open.
Joe Ritchie: Thanks. Good morning, guys.
Matt Trerotola: Good morning, Joe.
Chris Hix: Hey Joe.
Joe Ritchie: Can we just talk a little bit about MedTech margins in 3Q. So if you guys end up doing, let's just call it, flat organic in MedTech, so roughly $300 million in revenue. I'm trying to understand like whether the EBITA margins can get back into like the mid-teens because I had them closer to like the high teens last year. And you do have a mix benefit – sorry, that's my dog in the background, puppy. Mix benefit, right, that should be occurring in 3Q as well?
Matt Trerotola: Yes. I mean, I'll just comment on this. Chris can add. But I think from an overarching standpoint, we certainly are focused on making sure that as our revenue recovers, that our margins are in a healthy place and that we can drive the kind of margin improvements in this business that we talked about since we've acquired the business. And we're confident that, that's something that can happen. In any given quarter, there's going to be some tos and fros in terms of what we're selling and what we're investing in and different aspects of temporary measures, et cetera. And so I think we're not going to be – not ready to comment on specifically quarterly margin comparisons. But what I can say is that we're very focused on making sure that as the revenue fully recovers, that we have the kind of margins that we should have in that business and then are able to continue to improve from there.
Joe Ritchie: Okay. That's fair enough, Chris. I guess, maybe just make sure that I got it straight though, the expectation is for Reconstructive to grow faster than the prevention rehab business in the second half of the year, and that should be mix accretive, correct?
Chris Hix: Yes. That's a dynamic that we've seen for quite some time, and we would expect to see that continue in the back half of the year.
Joe Ritchie: Okay. Great. And then maybe just my one quick follow-up on FabTech. Can you maybe just talk a little bit about what you're seeing geographically? And then also, what you're seeing on the consumable side of the business versus the equipment side?
Matt Trerotola: Yes. From a geographic split in FabTech, as I shared, the developed markets were down more than the emerging markets, but both sets of markets showed healthy acceleration through the quarter. We expect both sets of markets to continue to accelerate as we move into the third quarter. And obviously, on a country-to-country basis, every country is going through things at a little different pace based on policy and other things, but that's what the broad trends are seeing.
Chris Hix: I think there was a follow-up on the equipment versus consumables there. And that – yes, in that case there, the experience we had in the quarter was actually pretty similar between the consumables part of the business and the equipment side.
Joe Ritchie: Okay, great. Thanks guys.
Operator: Thank you. Our next question comes from the line of Andrew Obin from BoA. Your line is now open.
Andrew Obin: Yes, good morning.
Chris Hix: Hey, Andrew.
Matt Trerotola: Hey, Andrew. Good morning.
Andrew Obin: Hey, just a couple of questions we've been getting. So the first one, how should we think about the impact of professional sports and college sports on Prevention and Rehab in the second half of the year. How should we sort of quantify the impact and what kind of impact will it have once college sports resume?
Matt Trerotola: Yes. So sports, not as professional in college, but also the broader set of high school and youth sports activities and other sports activities around the world are one of the growth drivers of our Prevention and Rehab business. One of a number of growth drivers, as we've talked about, but certainly one of the growth drivers. And so certainly, the declines that we've seen and the rate of recovery that we've had and the rate of recovery that we're talking about is being affected by that driver. And the assumptions that we've made for the balance of the year is that there is a step-by-step return to sports, that there's not a total lockdown of all sports and that there's not a kind of immediate resumption of all sports, that's going to be sometime next year before all sports are resumed, and that's kind of what we factored into the high level trajectory guidance that we're giving.
Andrew Obin: And then the second question, just thinking about 2021. What would it take for MedTech business to be up over 2019 in 2021? I'm not asking you for a forecast, but just asking you for a scenario under which MedTech could actually be up over 2019?
Matt Trerotola: Yes. So yes. So scenario that I have in MedTech above 2019 is that, first, elective surgery is, let's say, essentially back to normal, right, that we cleared through this year. The return to elective surgery as well as the kind of recreation of the backlog and that next year, we're kind of at least close to normal elective surgery levels is the first assumption. And then the second would be that kind of the vast majority of the drags that have existed this year in terms of activities and sports and things like that have passed that, whether it's through a vaccine or through comfort with treatment, or through comfort with kind of managing things through PPE and social distancing, et cetera, people have gotten comfortable getting back sort of close to normal resumption of activities. I think that combination would get us into positive zone next year, which we think is a very, very reasonable set of assumptions. We're not ready at this point to guide that, that's what we think is going to happen, but we think there's certainly a reasonable set of assumptions that would get us to positive in MedTech over 2019 in 2021.
Andrew Obin: Thank you so much.
Operator: Thank you. Our next question comes from the line of Steve Tusa from JPMorgan. Your line is now open.
Steve Tusa: Hey, good morning.
Matt Trerotola: Hey, Steve.
Chris Hix: Hey, Steve.
Steve Tusa: Just the kind of decremental margin commentary. Is there any reason why 4Q would be materially worse or off much from what seems to be kind of a more of a managed kind of stable trend? I mean, I don't think of low 30s is that different than 29%. So seems like you guys have kind of stabilized things on this front. Any reason why 4Q would bounce around at all, assuming revenues are within a band that we don't collapse again by then?
Chris Hix: Well, the normal decrementals in the business are – if you think about it, around 40% for FabTech and over 50% in the MedTech business. So that's our normal operating range. And we tend to flex around that given levels of investment and so forth. So the idea that we're in the 20s and maybe even in the low 30s shows that we flexed the cost pretty significantly. As we sequentially improve the business, at some point, you're going to see us migrating back toward the more natural levels of decrementals and then eventually converting into incrementals in the business. So I think we've got the – certainly, the – our hands on the cost levers to be able to manage sort of the decrementals here as sales are down, but I would expect to see us migrate over time.
Steve Tusa: Okay. Over time. Does that mean you're going to be kind of mid-40s in 4Q, things play out?
Chris Hix: No, I don't think we're in a position to talk a lot about Q4 at this point in time, but I don't think there'd be a reason why we'd have a significant shift in a single quarter in our decrementals.
Steve Tusa: Right. Okay. That makes sense. And then I guess, I think kind of the real opportunity on margins looks like it comes at this – the FabTech business. You've got peers – a peer average that's comfortably above that. You guys said you're working on improving kind of the processes and perhaps a more of a structural approach to cost and better ops there. Should we see that materialize on the way up for that business? I mean, in order to close the gap on margin, you obviously have to leverage better than peers on the way up. Is that kind of the goal for FabTech to really leverage some of the process improvements to deliver better than historical incrementals as this thing recovers over time?
Matt Trerotola: Yes, Steve. I think, first of all, over the last four, five years, we've driven really substantial improvements in the margins of our FabTech business to where we're now sort of kind of in line with a key peer there versus where we used to be. And that's been a combination of structural as well as CBS-based productivity and innovation and value pricing in the business over time. And we are not done. We intend to continue to improve the margins of that business. And you can tell from our comments about some of the structural actions we're taking in that business, that we're trying to make sure that in that business, as we get back to 2019 kind of revenue levels, that we've made progress on the margin front and that we're also in a position to continue to make progress from there. Now I will say that one of our other peers has a structurally different business. And so I've always said it's going to take execution for us to get to the kind of 15% operating profit range in margins in that business, which we were closing in on pre-COVID but it takes strategy to get us further than that. And we've been working on strategy, both acquisitions that we've made and innovation strategies, et cetera, to kind of lift up the headroom to where 15% operating margins is not the ceiling for us. And I'm talking operating margins, not EBITA margins, because that's kind of what we had talked about historically here, but the EBITA margin that would go with 15%. Operating margin is about 16.5% EBITA margin. So we were closing in on that. We're going to close in on it fast on the backside of COVID, but we're also strategically lifting the ceiling, both through restructuring efforts and strategic efforts to make sure that we're not done, and we can keep advancing the margins of that business.
Steve Tusa: Right, right. Great. And then one last one on free cash flow. I would hope it would improve sequentially. When you think about kind of the moving parts on working capital, for example, in the back half, maybe, I know you don't want to give like specific guidance, but maybe just some color on some of the moving parts in working capital, what could get better just seasonally or from what we're seeing in the revenue trends? And maybe if there are other headwinds that are discrete when it comes to second half free cash flow directionally because it just seems, obviously, to get back to $250 million, I would hope it's not going to be like really bad in the second half here that there will be a bit of a pickup on cash in the second half. Maybe just some moving parts there.
Chris Hix: Sure. Steve, if you think about it, starting in the second quarter, we had, obviously, the declining revenues, which had a profit impact on our business. And so to counter that, we had two things working for us. In the beginning of the quarter, we had receivables that we're working down that provided cash for us there. And then in the back half of the quarter, we had the full benefit of all the spending actions that we were taking, which certainly started earlier in the quarter, but we had the full benefit there. As you roll into Q3, with sales getting sequentially better, now we're going to be in a position where we're rebuilding the receivables. So you've got higher sales, higher profit but you've got certainly at the – at least in the front end of the quarter or perhaps throughout the quarter, we've got to rebuild the receivables. That's going to take some of that cash. And so as you turn the clock into Q4, what we would expect to see now is working capital is largely normalized. I'm sure there'll still be some puts and takes, but largely normalized, the potential for increasing sequential improvements. And then as I mentioned in my comments, we'd expect that to be our highest quarter and one that's a little bit more reflective, not fully reflective, but more reflective of the cash flow potential of our company.
Steve Tusa: So you think the 4Q could be – could close to reflect that kind of $250 million?
Chris Hix: I'm not prepared to talk about Q4 in specifics, but I think you'll see it being a lot closer to the potential of the business that we had in terms of conversion and longer term potential. Now the reason I'm hesitating here is, obviously, we don't have a full view on Q4. We don't expect a full recovery this year. And so – and then, of course, depending on the rate of improvement, that could be a factor as well. Along the way, Steve, I think I'd just remind everybody that we've continued to make the investments in our business to support growth. And that's also a factor this year, and an important one, that will help us regain our momentum as we work past COVID.
Steve Tusa: All right, great color. Thanks a lot guys. Appreciate it.
Chris Hix: Thanks Steve.
Operator: Thank you. Our next question comes from the line of Julian Mitchell from Barclays. Your line is now open.
Julian Mitchell: Thank you. And maybe just trying to stick to two questions. My first one would be around the MedTech margins. I understood you're not commenting on Q3. But I guess I wanted to try and gauge how satisfied you were with the Q2 performance. The EBITA, I think, was down almost 90% year-on-year. Maybe within that, help us understand what cost savings you realized. And whether – once we look ahead to the recovery, if that Q2 performance, how does that inform what type of incremental margins we could expect on the way up once sales return to normal?
Chris Hix: Yes. So the perspective I have on the margins is we're delighted with the performance. If you think about a business that went through this kind of revenue downturn with the sort of gross margin profile, the high gross margin profile, there was obviously going to be a lot of pressure on the profitability in the business there. And so to maintain the performance that we have with that kind of revenue downturn, caused us to – or required us to flex our cost pretty heavily. We talked in Q2 about overall getting – flexing our cost in the $80 million plus range across the company. Just given the different size profiles of the business, I think it may have been a little heavier on the FabTech side, but we were able to flex costs. Now some of that comes naturally with the business because it's got a variable cost structure with some of its selling cost. But a lot of the other cost flex came from discretionary spend reductions by having better cost contracts with suppliers, making some changes on the employment side as well. Now this is a business that's quickly – more quickly recovering and as Matt mentioned, part of this business has returned to growth or demonstrated growth in July. And so we feel it's appropriate that those cost levers are eased back a bit and matched up with the revenue profile – the sort of emerging revenue profile of the business. So I'd say overall, quite pleased with that. And as we get closer and closer to revenue matching up to where we've been before, I think that provides a clear path for us to get our margins back in that neighborhood. As Matt mentioned, there's some puts and takes. As we're working through COVID, you've got extra costs in some places. You've got some inefficiencies that we continue to work through. But overall, I think we're quite pleased with the performance and the path that we've got on the margins.
Julian Mitchell: Thanks. And then my second question, just wanted to understand, you gave some color on receivables, but accounts payable fell very sharply sequentially in Q2. And I think that was a big driver behind the free cash flow pressure that you'd seen. Maybe help us understand what happened with that payables number falling a lot more than receivables in inventories. And how you see payables playing out over the balance of this year?
Chris Hix: Yes. So the payables performance that we had in Q2 was principally driven by two factors. Number one is we had heavier CapEx spend in Q1. And just given the timing of that, a lot of the actual payment for that CapEx fell into Q2. So that's certainly one factor. And then the second factor is just ensuring that we have a healthy supply chain as we work through COVID. There was a lot of pivoting we had to do to make sure that we maintain the continuity of supply for our customers, which we did do. And so we had to make sure that we kept the supply chain healthy. Looking forward there, so I think we ended the quarter with a reasonable days sales and payables there. But I do think there's a potential as we now have increased levels of sales and production that you'll see accounts payable rising up, and that could provide a bit of a source of additional cash in Q3 and Q4.
Julian Mitchell: Thank you.
Operator: Thank you. Our next question comes from the line of Walter Liptak from Seaport. Your line is now open.
Walter Liptak: Hi, good morning, guys. Thanks for taking my questions.
Matt Trerotola: Hey, good morning.
Chris Hix: Hey, Walter.
Walter Liptak: Hey, I just wanted to ask one about the ESAB channel. You guys said your inventories were kind of just right for any kind of improvement. What are you thinking about with the channel partners? Has there been any sort of a refresh yet? Are your customers starting to hold more inventory as production levels go up?
Matt Trerotola: Yes. In ESAB business, we don't see a lot of channel impact in that business. There's some modest channel impacts at times as the channel is kind of leaning in a little or leaning out a little. But unlike some other businesses, it's not a business that has these kind of wide swings from channel stocking or destocking. And I would say, obviously, we're a very global business, and so it varies all over the world. But here in North America, certainly, as we went through the second quarter, the channel got more positive over time. And July is starting out a step forward from June as we've talked about. And so – and we think that's reflective, again, here in North America, it's reflective of the industrial markets and some of the construction markets and some kind of government-driven infrastructure things like shipbuilding and things like that. Those are leading to some healthy progress in the U.S. market. And then in other markets around the world, the channels are generally cautiously optimistic about the step-by-step progress forward in terms of more activity as there are less constraints put on industry and then the rebuilding of demand that creates even more activity.
Walter Liptak: Okay. Great. And kind of along those lines, other things besides shipbuilding that might be picking up or like there's a housing recovery that's going on. Does FabTech get any benefit from that? And likewise, there are some things that are still – auto, maybe that's picking up oil and gas is still weak, aerospace. I wonder if we can get a comment on some of those sectors?
Matt Trerotola: Yes. Yes, that's right. Certainly, general industrial and construction, not just residential, but all construction, have been positive areas, infrastructure around the world, but some of the government-driven stuff here in the U.S., those have all been positive things. And alternative energy has been a positive as well, wind towers and things. But on the flip side, obviously, oil and gas has been tougher. Automotive has been tougher. We're not as exposed to automotive here in the U.S. But playing that supply chain in Europe. Automotive has been tougher. Some of the yellow goods has been a bit tougher as well. So it's definitely – everything stopped or everything kind of went slower for a bit there, but things are coming back at differential rates. And one of our key strategies in the ESAB business has been to make sure that we are proactively positioning ourselves to succeed with the segments that are coming back the fastest and most successfully. And make sure that, that contributes to continued outperformance from a growth and share gain standpoint in that business that we've been able to demonstrate now here for a while.
Walter Liptak: Okay. Great. And the last one is just on M&A. With – any changes on kind of MedTech focus over the welding focus? And is it possible even to get deals to look at in this environment?
Matt Trerotola: Yes. We've got a healthy M&A funnel rebuilding and are encouraged about the opportunities ahead of us. And we focus on M&A opportunities in both businesses that are going to strategically advance and strengthen the businesses, but we also have been transparent that we're looking to overdrive the growth of the MedTech business and disproportionately invest in M&A there in the coming years. But yes, there's a period where it was really not that practical to do any meaningful deals there because the visibility was just really bad. But as visibility is starting to come back, there's more constructive dialogue happen and process restarting, et cetera. And I think as we work through the balance of this year and into next year, we're encouraged by the possibilities that we see.
Walter Liptak: Okay, great. Thank you.
Operator: Thank you. At this time, I am showing no further questions. I would like to turn the call back over to Mike Macek for closing remarks.
Mike Macek: Thanks, everybody, for joining our call today. We look forward to speaking with you going forward. Everybody, have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.